Operator: Good day and welcome to the New York Times Company fourth quarter 2006 earnings conference call. (Operator Instructions) For opening remarks and introductions, I will turn the conference over to Ms. Catherine Mathis. Please go ahead, ma'am.
 Catherine Mathis: Thank you and good morning, everyone. Welcome to our earnings conference call. We have members from our senior management team here to discuss our results with you. They include Janet Robinson, our President and CEO; Jim Follo, our Senior Vice President and Chief Financial Officer; Scott Heekin-Canedy, President and General Manager of the New York Times; Martin Nisenholtz, Senior Vice President of Digital Operations; Jim Lessersohn, Senior Vice President Corporate Development; Stu Stoller, our Senior Vice President of Process Engineering; George Barrios, Vice President and Treasurer; and Tony Benton, our Vice President and Corporate Controller. Our discussion today will include forward-looking statements and our actual results may differ from those predicted. Some of the factors that may cause them to differ are included in our 2005 10-K. Our presentation today will include non-GAAP financial measures and we have provided reconciliations to the most comparable GAAP measures in our earnings and revenue press releases, which are available on our website, nytco.com. This conference call is being webcast and an archive will also be available on our website, as will a transcript and a version that is downloadable to an MP3 player. An audio replay will also be available and the directions for it are in our earnings press release. With that, I am going to turn the call over to Janet Robinson. Janet Robinson: Thank you, Catherine and good morning, everyone. Before Jim and I delve into the details of the quarter, I first want to address the non-cash charge included in our fourth quarter results. It is related to the writedown of intangible assets at the New England Media Group which includes the Boston Globe, the Worcester Telegram and Gazette and their related properties. As you may recall in our third quarter 10-Q filing, we said that we would be performing our annual impairment test on all of our intangible assets and a charge might be required. We recently completed our testing which did result in a charge of $814 million, or approximately $5 per share after tax. The charge was mainly the result of the recent operating performance of these assets and current trends in the business. Despite this charge, we continue to view these properties as important assets of our company and we remain acutely focused on improving their performance and value. With this charge, we reported a net loss of $4.50 per share, compared with earnings per share of $0.43 in the fourth quarter of 2005. Excluding this charge, our fourth quarter earnings would have been $0.61 per share, which was significantly above the consensus estimates provided by The Street, and 42% above the same quarter in 2005. In the 14 years since 1993 when the Times Company acquired the Boston Globe, and the since years since 2000 when we purchased the Worcester Telegram and Gazette, we've seen ups and downs. That regional economy has been especially hard hit over the last several years, exacerbating some of the challenging trends that have affected our entire industry. Retail consolidation in the Boston area, specifically the loss of Filene's, the Globe's largest advertiser, as well as the telecommunications consolidation has had a particularly pronounced effect. This year, there are new retail stores coming into the marketplace, which we believe will benefit the Globe's retail advertising. We view our New England assets as important ones, and are committed to building on and extending their storied legacies, and to improving their financial performance. While the charge was a necessary step, we believe that the talented employees and the initiatives we have put in place will result in better performance over time. When we presented at the December media conferences, we said that in the fourth quarter, we continued to see slower ad revenue growth than we saw in the third. In fact, the fourth quarter turned out better than we expected, because of higher than expected anticipated advertising revenues. That said, the pressure is certainly not off. Print advertising across the industry remains under pressure, as advertisers in important categories experience business difficulties of their own. As I noted, consolidations continue to affect us. Increasingly, ad dollars are being allocated to the web and while we are capturing a sizable share of those dollars, the differential between print and online ad rates remains significant. Over time, we are confident that this will change. At this point, however, we are managing the transition to an increasingly digital world, balancing product development in both print and online while maintaining stringent cost control. It is challenging and there are certainly no magic bullets as is evidenced when you look around our industry, but we have some notable successes through the year that I believe are worth recapping, as they are indicative of where we are headed and our commitment to move with urgency to improve our performance. In 2006, as many of you have heard me say, we continued to develop new products online and in print to build out key content areas. We introduced exciting new magazines including Play, Key, and Design New England. We relaunched NYTimes.com with a host of new features and enhanced our digital offerings across the company. In all, new products and services generated substantial revenues, approximately $30 million, as well as additional earnings in 2006. Our research and development group in its first full year of operation worked closely with our business group, to build revenues through new mobile products at the Times, the Globe, and Gainesville; and a local search product at Boston.com, which is capturing fast growing local online advertising. This group has also been instrumental in the launch of the Times Reader, a new way to read the Times which takes advantage of Microsoft's new Vista operating system, to provide the look and feel of a newspaper with the functionality of the web. We began rebalancing our portfolio of businesses with the sale of our interest in the Discovery Times Channel, and the pending sales of our Broadcast Media Group and our radio station, WQEW, for a total in excess of $700 million. We've made several small acquisitions and investments in the digital space, including the purchase for $35 million of Baseline Studio Systems, a primary B2B supplier of proprietary entertainment information to the film and television industries. Cost control remained a priority. Over the past two years, we have reduced costs and realized productivity gains of $120 million. Last year, we announced the consolidation of our New York area printing facilities, and a web width reduction at the New York Times. Across the company, there continues to be a multitude of initiatives to reduce our cost structure, streamline our organization, and strengthen the effectiveness of our enterprise. At the same time, we accomplished a great deal on the business side. Our journalistic colleagues continue to demonstrate their unwavering commitment to news coverage of the highest quality. Their efforts were recognized with numerous awards, including three Pulitzer prizes. Great journalism is at our core and always will be. Before discussing our quarterly results, let me also address another matter included in our press release. This morning, we announced a restatement of previously issued financial statements primarily to reflect a change in accounting for two jointly trustee plans, a pension plan, and a benefit plan established under collective bargaining agreements between the company and our guild at the Times. While the restatement will not have a material effect on our previously reported operating results, it will increase assets by approximately $30 million, liabilities by $100 million net of deferred taxes and it will reduce stockholder's equity by approximately $70 million as of December 25, 2005. The issues that resulted in this restatement do not affect our funding obligations. Turning to the fourth quarter, as you know because of our fiscal calendar, both the fourth quarter and the year had an additional week. Excluding the additional week, our print advertising revenues declined 7%, while our online revenues climbed 30%, so that overall ad revenues for our News Media Group decreased 4.8% in the quarter. The trend in the quarter was that October ad revenues at the News Media Group decreased 5.7%; November declined 5%; and December, excluding the additional week, was down 3.7%. At the Times Media Group, ad revenues decreased 3.5% in the quarter, excluding the additional week. Categories that performed well in the quarter included advocacy, where campaigns from energy and oil companies, and philanthropic organizations caused advertising revenues to grow; pharmaceuticals where increased advertising for Advair, Nexium, and other drugs boosted revenues; and books which benefited from campaigns for popular new novels in the Daily Paper. Entertainment advertising, which trended down throughout the year, decreased in the quarter but rose slightly in December excluding the additional week mainly because of increased spending from Warner Brothers and Paramount Pictures. Three categories where we saw significant declines were automotive, mainly due to decreased advertising from domestic automakers; financial services, which had several credit card campaigns that were not repeated in 2006; and telecommunications, where last year's merger of AT&T and SBC increased advertising. New products introduced at the Times helped improve the revenue picture. This year, more are planned, including additional issues of Key and Beauty as well as special theme issues and sections. The New England Media Group had a difficult quarter as it continues to grapple with the soft economic climate and consolidation among major advertisers. Fourth quarter advertising revenues, excluding the additional week, decreased 11.5%. Filene's last advertised in March of 2006 so we will continue to cycle those comparisons through this quarter. After that point, the comparisons ease considerably. In the national category, banking and finance, telecommunications, national automotive, and travel remained soft. As I said, several significant retailers have announced plans to enter or expand in the Boston market, which we believe will improve the Globe's advertising revenues. New products benefited the Globe in the fourth quarter, and are expected to next year as well. Design New England, a glossy oversized magazine focused on home and garden, launched in October and will be published six times annually. This year, the Globe plans to introduce other niche publications and to significantly expand the number of special sections that appear in Boston Globe magazine, and in the newspaper. At our Regional Media Group, fourth quarter advertising revenues, excluding the extra week, decreased 1.4% mainly due to softness in classified advertising. Recruitment and automotive advertising were down significantly in the quarter. Circulation revenues rose slightly in the quarter, excluding the extra week, mainly because of the home delivery and newsstand price increases we announced last fall for the New York Times. Circulation revenues, again excluding the additional week, declined at our New England and Regional Media Groups as a result of lower volumes. Other revenues at the News Media Group showed strong growth in the quarter, driven by our focus on better utilizing our assets, and creating new products and revenue streams. Excluding the additional week, they rose 10% at the Times Media Group, where the acquisition of Baseline Studio Systems contributed most of the growth; and 42% at the New England Media Group; and 10% at the Regional Media Group, mainly due to increased commercial printing. In its first full year as part of our company, About.com turned in an outstanding performance. Total revenues grew 36% in the fourth quarter and an estimated 50% for the year, excluding the extra week. For the year, its operating margin expanded to 38%, up from 27% for the period in 2005 in which we owned it. About.com's growth in both the quarter and the year is attributable to higher advertising rates as well as increased volume due in part to a greater number of sites under its umbrella. Last year, we added 88 new guides. Our total at year end was 587. This year, we expect that number to increase to nearly 700. In total, our digital businesses generated about $85 million, or 9% of the company's revenues, in the fourth quarter and about $274 million, or 8% of the company's revenues, in 2006. This is up from 4% of the company's revenues, in 2004 and 6% in 2005. As of December 2006 the Times Company was the ninth most visited parent company on the web in the United States with 44.2 million unique visitors according to Nielsen Net Ratings. This year, we believe our revenues from Internet-related businesses will grow approximately 30% to more than $350 million, mainly from organic growth. To date in January, our fiscal month ends this coming Sunday. Print advertising remains challenging, especially for classified advertising, and in categories such as telecommunications and national automotive, where we are experiencing declines. At our digital properties, we are experiencing healthy gains. We are continuing to execute on our strategy of enhancing our properties with new products and services, developing key content verticals, both in print and online, expanding our research and development capabilities, rebalancing our portfolio, and maintaining stringent cost controls. Our goal is to grow our earnings and in turn, our share price. Before I turn the call over to Jim, I would like to say how pleased we are that he has joined the Times Company. Some of you know him from his days at Martha Stewart Living Omnimedia. Jim brings an abundance of skills and experience that are very valuable to us: a strategic understanding of the issues we in the media business face, a strong focus on optimizing capital allocation, a very disciplined approach to cost management, and an overriding desire to enhance the value of our company to the benefit of all of our shareholders.
 Jim Follo: Thanks, Janet. I'm very happy to be here and look forward to meeting all of you over the course of the weeks and months. During the fourth quarter, we continued to tightly manage expenses. Total costs rose 2.5%; excluding the extra week, total costs decreased 2.2% in the quarter. There were several things that contributed to this, including lower staff reduction costs and lower newsprint expense. These were offset only partially by higher depreciation due to the accelerated depreciation of assets at Edison, New Jersey printing plant which I will discuss in a moment. Ad expenses declined 76% in the quarter to $8.5 million from $35.4 million in the same period in 2005. Newsprint expense decreased 1.6% in the fourth quarter; excluding the additional week, newsprint expense decreased 7.5% in the fourth quarter, with 13.1% of the decrease resulting from lower consumption, partially offset by 5.6% increase in higher prices. Newsprint transaction prices are trending down, as is U.S. newsprint consumption making it increasingly difficult for suppliers to maintain the supply/demand balance. We expect newsprint prices will decline further in early 2007, as suppliers will not be able to take additional downtime quickly enough to bring the market into balance. Over the past several years, we have taken a number of steps to decrease newsprint consumption, including shifting to lighter basis weight, eliminating the World Business section and the TV Book at the Times, and stock tables at both the Times and the Globe. In August, we plan to decrease the page size of the Times to the evolving industry standard, which will further reduce newsprint consumption and provide us with savings. Depreciation and amortization in the quarter totaled $54.6 million, versus $35.4 million in the same period last year. The reason for the significant increase was the $20.8 million in accelerated depreciation incurred as a result of our plan to consolidate our New York Metro area printing into our newest facility in College Point, Queens and to close our older Edison, New Jersey facility. This plant consolidation has significant savings associated with it, approximately $30 million per year in lower expenses. In addition, we expect to avoid the need for capital expenditures at the Edison plant of approximately $50 million over the next ten years. We project a very strong return on this project, which is expected to be completed by the end of the first quarter of 2008. As a result of steps we have taken over the past two years, we have reduced costs and realized productivity savings. This work continues. Earlier this month, we announced that we plan to reduce the staff at the New England Media Group by approximately 125 positions, mostly through voluntary buyouts. These buyouts are expected to be completed by the end of the first quarter. Our Regional Media Group announced several cost reduction measures for 2007. By the end of the year, all cash to order activities for the group including billing, credit collections, and other processes, will be merged into one central operation in Lakeland, Florida. We are also planning to consolidate our printing plants in Hendersonville and Spartanburg by April 1. Circulation administrative functions for the group will be consolidated and reengineered. We anticipate that these initiatives will significantly increase efficiencies, improve customer service, and help us standardize common business processes across the Regional Media Group. Another initiative we have under way is outsourcing some functions, mainly in the systems and financial areas. Like many companies across the country, we plan to outsource several important functions to outside organizations, whose technological scale and extensive resources allow them to perform such tasks more efficiently. We are looking at opportunities across the company. Capital spending in the fourth quarter totaled $119 million, including $69 million for our new headquarters. For the year, capital expenditures that appear on our financial statements were $358 million, including $192 million for our portion of the new building. Our development partners’ portion of the capital expenditures was $55 million. We expect to begin occupying our new headquarters in April, and to complete the move by July. Both depreciation and amortization and interest expense will increase in the second half of the year, as a result of our new headquarters, as we indicated in our press release. The completion of our new building, along with the planned sale of Broadcast Media Group and the anticipated sale of WQEW, raises the question of what we will do with the proceeds. Our current plan with respect to net proceeds from the sale of Broadcast Media Group is to repay debt. Beyond that, we will remain very disciplined in our use of cash. Our priorities continue to be to invest in high growth capital projects that will improve operations, increase revenues, and reduce costs such as our plant consolidation and web width reduction at the Times. We also plan to continue to evaluate acquisitions and investments that are both financially and strategically attractive, as demonstrated by our acquisitions of About.com and Baseline. We will consider debt reduction to allow for financing flexibility in the future, we will continue to provide our shareholders with a competitive dividend, and we will regularly evaluate repurchasing our stock. Now we'd be happy to answer any questions you may have.
Operator: (Operator Instructions) We will have our first question from John Janedis - Wachovia.
 John Janedis - Wachovia: Good morning. Janet, looking back to last year, you saw some pretty strong growth from the real estate category, and you're able to post positive growth at the Times. As you think about this year, your comments about January -- which sounds like it is not trending too well -- are there any categories that you're feeling better about as you start the year?
 Janet Robinson: I will have Scott give you an overview in regards to the Times and then I will jump in with regard to the New England Group, and the regionals as well.
Scott Heekin-Canedy: John, let me address the real estate question first. Real estate display is continuing to grow, and we expect it to do so over the course of the year. The AGAT part of real estate is up against very significant comps and we are seeing declines in the AGAT side of that category. But we're seeing growth, some strength in January from live entertainment, advocacy, American and international fashion, cosmetics, books, financial services. We're seeing significant challenges, as Janet has already indicated, in automotive, telecom, and the AGAT categories. We expect to see challenges in those categories over the course of the year. But as we look out across the year, all of the things we've said in the past couple of years about limited visibility and significant volatility we expect to continue to define the dynamics of this marketplace, but there are a broad array of categories where we expect to see positive trends. Again, the biggest challenge is coming in automotive, telecom, and AGAT. Studios, which was a very significant challenge for us last year, we expect to see a moderation of that trend in 2007 and we're already seeing that in January. We saw it in December of last year.
 Janet Robinson: In regard to New England, in January we're seeing some strong pharmaceutical activity, packaged goods; and in the media side of things, department stores, continue to remain a bit challenged, again as I noted, we are cycling still up against the Filene's business that ran in January last year. Real estate is soft, as is help wanted. But there are some interesting conditions that seem to be noticeable in Boston that I think are important for us to share with you. I noted that indeed a lot of new retailers are coming into the Boston market, either people who have been there before who are expanding their stores, or new entries. For example, there are two new lifestyle malls, one has opened already in Burlington in the fourth quarter of last year and there was a new one opening in Dedham in the second quarter of this year. Nordstrom’s and Neiman Marcus are opening as well. Neiman Marcus is opening in the second quarter, Nordstrom is opening in the fourth quarter. L.L. Bean is opening there as well. So there are a number of new entries. But in addition, there is another opportunity for us to gain more revenue from the Barney's, the Ikea's who entered the market within the last year as well. In addition, we are starting to see banking competition heat up quite a bit in Boston. The mid to small sized banks are competing with the larger banks, and Citibank plans to open 30 new locations inside Massachusetts. They also have renamed the Wang Theater in Boston which we think will also translate into revenues. We are seeing also a lot of activity in the hotel category. There seems to be competition heating up there in regards to Western Intercontinental -- two new hotels -- a renaming of the old Ritz in Boston to the Taj and the new Ritz is beginning to advertise more. We're also seeing increased activity in regard to airlines as well. So there are conditions that seem to be trending in Boston that could be positive for us going forward. Also in regard to online, there is strong activity in regard to real estate, as we translate much of the real estate business from print to online. As far as the regionals are concerned, in January, we're seeing some strong activity in regard to online and retail ROP, and in regard to our community weekly newspapers.
 John Janedis - Wachovia: Thanks. You talked about, Janet, the relative value of the unique user but as you look at it versus a print subscriber, how much has that changed over the past two or three years and maybe what relative value do you forecast a couple years out?
 Janet Robinson: I think the Times and the Globe, for that matter, are fortunate to be able to be on the higher end of the digital rate structure. But as you well know, there is a marked difference between a print subscriber or a print advertising rate and an online advertising rate. But as we grow volume on the digital side, we are continuing to see the opportunity not only to gain in revenue, but also to see some very strong opportunities in regard to increasing the rate structure. Martin, did you want to add anything?
 Martin Nisenholtz: No, I think that says it.
 John Janedis - Wachovia: If you can get slightly more specific, if you think about it, maybe more broadly, Martin, even -- and I'm making this up clearly, but if a unique was worth one-fifteenth of a print subscriber in '04 and is it worth one-eighth now going to one-fifth in '09 sort of thing. Do you think about it that way?
 Martin Nisenholtz: I don't think we can suggest that. I think what we've seen to your earlier point is increasing rates online. To Janet's earlier point, we expect to see, over time, the gap close. But I don't think it has been possible to quantify it to that kind of detail yet. The fact is, it has been trending up. Rates have been up double-digits for the last several years. We expect them to be up again this year, at all of the properties. So as that dynamic continue in the marketplace, as that rate trend continues, we expect the gap to close.
 John Janedis - Wachovia: Thank you very much.
Operator: We will have our next question from Steven Barlow - Prudential.
 Steven Barlow - Prudential: Thank you. Could you talk about any discussions you've had internally with the various Yahoo! and Google deals that have been out there in terms of help wanted, et cetera on the Yahoo! side and any remnant things with Google?
 Martin Nisenholtz: Let me start by saying that we have a very significant agreement with Google in place already. We are one of their largest partners, and that agreement is expiring in the fall, at the end of October. So we are in negotiations now with a number of parties. I wouldn't want to be specific as to exactly who, but I think you can probably imagine who that might be, to renegotiate that contract. So we already have a very large relationship. In addition we, as you may know, are a participant in the Google print experiment, which uses remnant print inventory in their auction-based pricing mechanisms so we're also a partner with them there. With respect to the Yahoo! agreement with the seven smaller newspaper companies, we have had discussions with Yahoo! as well as with others, and we're continuing to have those discussions both in relation to help wanted, and in relation to other potential partnerships.
 Janet Robinson: It is also important to note, Steve, in regard to the Google print contract, that the New York Times is the only national newspaper in that beta test. The Boston Globe is also part of that test as well.
 Steven Barlow - Prudential: Martin, on a follow-up side on the Yahoo! side, obviously you were probably approached at this point and you basically have taken a pass?
 Martin Nisenholtz: No. At this point, we have not taken a pass. We are still evaluating the various options on the table. But what I'm trying to say to you is that as the ninth largest property on the Internet, we have a very different posture online than many of our peers, and therefore, the negotiation that might take place with these companies is much more substantive.
 Steven Barlow - Prudential: That's fair. Switching to circulation for Scott, it is my understanding that on the credit card side of your monthly payers of the Times that you've now gone to a pay in advance model versus a pay in arrears model. Is that correct? How much of your monthly subscribers do use credit cards at this point in time? What is the financial effect versus just moving 13 months worth of revenue into 12 months of time period in '07?
 Martin Nisenholtz: We've not made any change in our credit card policy. Most of the payments are made on a monthly basis. There isn't an option to pay on some other term, three months or a year, and those are payments in advance.
 Janet Robinson: One thing, Steve, that you might want to be aware of is that right now at the Times about 73% of the subscribers pay via credit card at the Times; and at the Globe, it is around 49%.
 Steven Barlow - Prudential: Thanks very much.
Operator: We will go next to Lisa Monaco - Morgan Stanley.
 Lisa Monaco - Morgan Stanley: Janet, if you could just provide us with a little bit more specifics in terms of the Times improvement in December. What specific category showed improvement? More specifically in January in your comments there, are we to assume that trends are not as favorable at the flagship paper in January as they were in December? I just wanted to confirm that is the case, and if so, if it is classifieds? On New England, you cited several categories which are showing positive trends. The fact is that the ad revenue is still down double-digits, and realizing we will cycle through the Filene's in March, how are you thinking about trends for the balance of the year on the top line there, post the cycling through Filene's? Thanks.
 Janet Robinson: Let me take the Globe question first and then I will turn the Times question over to Scott for further amplification in regard to the January categories. I didn't say that indeed the Globe advertising was moving in a positive trend. I said conditions were such that we were expecting that indeed advertising has the opportunity to increase. What I did say was that with all of the new retailers coming into the market, competition is heating up, they are entering in the market after the Filene's exit, that should give us a broader advertising base going forward. The same holds true in regard to the banking industry. When you did see the consolidation between Fleet and Bank of Boston into B of A, many of the smaller banks and the mid-sized banks retreated quite a bit. Now, what you see is a stronger competitive opportunity that we think could bode well for us going forward. In addition, we are seeing increased competition in regard to the hotel industry there, primarily because of two new hotels that have entered into the market, Western Waterfront and the Intercontinental, but also the Taj with the rename of the old Ritz, really providing full-page advertisements, for example, even as they are renaming. And as I noted, there is improvement in regard to the airline industry that has the ability to translate into better performance. So I think what I'm saying, Lisa, is that there are elements that we're seeing in Boston that point to increased competition that could be beneficial in regard to the increase of the advertiser base. That said, it is very clear that the pressure is still on in regard to advertising in New England, and that we still will see challenges in regard to the advertising climate there, but that we are going to do all we can with new product development, and with a very strong drive on revenue to improve our performance there.
Scott Heekin-Canedy: In December, we saw some strength coming from the luxury goods categories, as we saw all year long. Pharmaceuticals, which was a strong category for us last year, finished very, very strong. Advocacy, alcoholic beverages, books were all strong; transportation, which has been on a volatile track for the last couple of years, came in on the positive side. The pressure on our results came from the categories that were challenging and troublesome for us all year with a couple of exceptions. But the pressure came from automotive, technology, the AGAT categories, telecom. The exceptions were recruitment where we saw moderation of the trends that we have been seeing for the prior several months, and then studios was significantly moderated from the downward trend we had seen throughout the year. Excluding the 53rd week, we are about even with the prior year, and then obviously adding in the 53rd week, which was the holiday week, added quite significantly to the overall results. We're seeing that kind of balance carrying over into January, strength coming from essentially the same categories that I cited, and the challenges from the ones I've already cited as challenging for us.
 Lisa Monaco - Morgan Stanley: Can we assume that January, on an overall basis at the Times is similar to December or slightly weaker?
Scott Heekin-Canedy: I should point out that we're up against quite different comps. The fourth quarter of '05 saw some quite robust growth for the Times. That was true in December as well as the entire quarter of '05. So that comparison is quite different than our January comparison. So January, all in, we would probably end up slightly down year-over-year.
 Lisa Monaco - Morgan Stanley: Thank you.
Operator: We will go next to William Bird - Citigroup.
 William Bird - Citigroup: Janet, I was just wondering if you could talk about how important acquisitions are as you look to repositioning the business, and what are your future goals for digital as a percent of revenues? Thank you.
 Janet Robinson: I have noted that indeed there has been a strong push particularly in the last year, Bill, in regard to rebalancing the portfolio. Our move on Discovery Times, our very attractive sale price of the Broadcast Group, and the pending sale also of WQEW provides us with in excess of about $700 million. With that money, we have outlined before that indeed we have five things that we're going to be looking at in disciplining ourselves in regard to the use of that cash. We are very focused on only high return capital projects. We're making sure that that is an important part of our future. Acquisitions and investments are important to us. Certainly with the discipline and the success that we've had with the recent acquisitions, small and large -- About certainly being a strong example -- we feel that there are strategic acquisitions that we can make that will enhance our growth, particularly in the digital arena and we are proactive in looking at those. We have an opportunity to reduce our debt. We have an opportunity to provide shareholders with a competitive dividend and we have an opportunity to repurchase our stock. The acquisition discipline that you have seen on this exhibit with About, not only in the way in which we have integrated it very successfully into our operations, but also how that acquisition has benefited our other digital sites is the kind of acquisitions we're going to be continuing to look at -- making one plus one equal three. Not only benefiting the site and being well run on its own, as About is, but also benefiting what we already own. I also think from a standpoint of making sure that we pay attention to all of the other notations that I've mentioned, we're going to continue to make sure that we are evaluating those very carefully.
 Catherine Mathis: So with regard to your question on what percentage of our revenues we would expect to come from the digital area, as you know, we haven't given a forecast for 2007 for our total company revenues. But what we have said is that we do expect our revenues from Internet-related businesses to grow approximately 30%, to about $350 million this year. As you know, in the fourth quarter, our digital revenues accounted for a little over 9% of our total company revenues. So certainly, we would expect that we would do well in the digital area.
 Janet Robinson: The fact, also Bill, that we are the ninth largest parent now on the Internet is a very important factor in regard to the decided growth that you have seen us experience in our digital operations. It is a very strong showing that we have $274 million in revenue this year, climbing again next year, to approximately $350 million, I think it shows that our company is making this transition very quickly, with certainly more growth to come going forward.
 William Bird - Citigroup: Just a follow-on, are there any new avenues for cost reengineering being evaluated?
 Janet Robinson: Absolutely.
 Jim Follo: It is certainly an area of focus. I think we have dedicated both internal and external resources while this has been ongoing and I think the company has done a good job. We are confident that there is more to be done. It is a focus of both mine and the management team and we're confident we can make some progress there.
 Janet Robinson: One of the things that we did, as you know, Bill last year, was with Jim's entry into our company, we restructured our financial department and many of our folks here have new positions. In light of that, Stu Stoller has taken on a new position that is specifically focused on process reengineering. Not only have we been able to secure about $120 million in the last two years in savings, we feel as though going forward, there will be an estimated $65 million to $75 million more just in 2007, and we have every intention of hopefully building on that. There is a decided effort internally across all of our units with Stu leading the charge to investigate even more activity in regard to cost reduction, which certainly will include not only productivity and efficiency moves but also looking at outsourcing and offshoring.
 William Bird - Citigroup: Thank you.
Operator: We will go next to Lauren Fine - Merrill Lynch.
 Lauren Fine - Merrill Lynch: Thank you. Just a few quick ones. I'm wondering on the news media segment if you could tell us in the fourth quarter what the cost performance was excluding the extra week and the staff reduction charges? Secondly, I'm wondering if you could give us an indication of what kind of a tax rate you expect for 2007?
 Jim Follo: The tax rate is going to be a little hard to predict. As you know, there are new accounting rules that are going to impact that. We think the rate will likely go a little bit higher. We haven't finished our analysis. FIN 48 is somewhat complicated. I will be working through that over the next several months.
 Lauren Fine - Merrill Lynch: The cost performance for news media?
 Jim Follo: Cost performance for news media, let me pull that out and I will get right back to you.
 Janet Robinson: What we can tell you, Lauren, is that excluding the extra week in '04, the total cost and expenses were down 2.3%. excluding the reductions in staff, and the extra week for the News Media Group.
 Lauren Fine - Merrill Lynch: But that's total company, correct?
 Janet Robinson: Excluding the extra week, it was down 2.3%, due to the lower staff reduction for the News Media Group.
 Lauren Fine - Merrill Lynch: Could you tell us of your online revenues, what percent is classifieds and what the other major categories are at this point?
 Martin Nisenholtz: Yes, I can do that for you. In 2006, we had a very diverse set of revenues, Lauren, about 45% of our revenues were from display, about 15% were CPC, about 24% were classifieds, 5% were from paid products including Time Select, a sliver, about a percent was from e-commerce, mostly at About. We had about 8% coming from syndication, which is our business to business line. Then for the period of the time we owned the business, about 1% from Baseline, and 1% from all others. So the big base is still display at the Times Company with a relatively lower dependency on classifieds. That's, as I'm sure you know, in contrast to most of the other newspaper companies.
 Lauren Fine - Merrill Lynch: Great. Thank you very much.
Operator: We will go next to Frederick Searby - JP Morgan.
 Frederick Searby - JP Morgan: With real estate classifieds weakening, it is understandable given the tough comps around the country, but you in the past have talked about the Goldilocks scenario and looking at all the inventory; and the fact that New York has held steady I'm just wondering why specifically -- ex-ing out the New England properties -- why New York would be weakening right now and what the outlook is.
Scott Heekin-Canedy: New York is not weakening as a marketplace. The AGAT portion of the business is up against difficult comps. We are continuing to see growth online, and as I said earlier on, the display part of this business is expected to continue to grow at a nice pace. That's reflective of the continuing strength in the New York marketplace. Their inventory is at an all-time high. There is more inventory that is expected to come online which all is supportive of the display outlook.
 Frederick Searby - JP Morgan: Thank you.
Operator: We will go next to Craig Huber - Lehman Brothers.
 Craig Huber - Lehman Brothers: Good morning. What was the percent change in your full-time equivalent employees adjusting for acquisitions and divestitures for 2006? What might that percent change be for 2007 that you're budgeting?
 Janet Robinson: Hold on one minute, Craig. We will get that number for you.
 Catherine Mathis: Craig, we don't have that readily available, but what I can do is get back to you after the conference call. I think in our discussions at CF and UBS conferences, we expected that year-end would be down over 2004, around 6%.
 Craig Huber - Lehman Brothers: That's from 2004, you said?
 Janet Robinson: Yes.
 Craig Huber - Lehman Brothers: From two years ago?
 Catherine Mathis: Yes.
 Craig Huber - Lehman Brothers: And what is your plan for 2007, the FTEs?
 Catherine Mathis: We don't have an estimate at this point.
 Craig Huber - Lehman Brothers: You have roughly 45% of your circulation for your regionals in the Florida market. Would you say your real estate pressure there is very similar to what was described yesterday that's added significant pressure to that whole group on the ad revenue fund?
 Janet Robinson: There certainly is real estate pressure in regard to our Florida properties, particularly Sarasota, but they are doing a lot of good work in regard to their weekly newspapers and new product development, that we think can offset some of the losses that we may be seeing, or some of the declines that we may be seeing in the real estate market. It is predominantly Sarasota that is feeling that weakness, rather than the other Florida properties.
 Craig Huber - Lehman Brothers: How would you describe the other advertising categories for your Florida papers?
 Janet Robinson: Well retail, as I noted earlier, is showing signs of stronger ROP; classifieds is challenged, certainly AGAT in regard to automotive, help wanted, and real estate. They are seeing some national business coming in, in regard to home furnishings, and some of the categories that they have been able to capture in the local media, particularly in regard to their community newspapers, and their magazines. We now have 13 magazines and we have 22 weekly newspapers, and they are adding many this year in regard to Citizen Journalism. So the focus in regard to local advertising at our Florida properties and really all of our regional properties, is really quite directed that we do think can reap some benefits for them.
 Craig Huber - Lehman Brothers: Over the years, Janet, including recently you have been adamant that your company doesn't want to sell the Boston Globe and I assume you have the same thoughts about your regional newspapers. Is it possible, however, in the next few years that your thought could change on that just as it has obviously changed over your TV broadcasting?
 Janet Robinson: Craig, as you know, we don't comment on acquisitions or divestitures, and it is really our job to constantly evaluate our portfolio, and I think what we have done certainly within the last year has sent a very clear message to all of you and certainly to our investor base that we are going to continue to make sure that we evaluate these properties correctly. That said, we have every indication that the properties that we do own, the Times certainly, Boston and the regionals are all strong properties, have the ability to be even stronger going forward, and that we're taking the proper steps to constantly improve their performance. I think if we continue on course, in regard to streamlining our costs, integrating the newspaper side, the print side, and the digital side, to capture even more efficiencies and certainly more online growth, we have the opportunity to have these properties continue to make a very strong contribution to the well-being of the company.
 Craig Huber - Lehman Brothers: Thank you.
Operator: We will go next to Peter Appert - Goldman Sachs.
 Peter Appert - Goldman Sachs: Good morning. Janet, first, is your expectation that the New York Times Company is going to actively oppose the merger of Abitibi and Bowater and do you have any thoughts on whether NAA might get involved in this?
 Janet Robinson: It is not our intent to oppose the merger. We certainly have been in touch with our contacts at Abitibi. We feel that indeed it is not a surprise to see this merger happen, Peter. I think that from a standpoint of what Jim said earlier in regard to newsprint pricing short term, we feel that is definitely the case, and I think from a standpoint going forward, we are going to closely monitor what the situation is with this merger. I really could not comment in regard to the NAA. I think that they certainly have always taken a proactive role in regard to monitoring anything that affects the industry. I would suspect that they will closely monitor this as well.
 Peter Appert - Goldman Sachs: Secondly, I just wanted to confirm that the write-off in Boston is specifically of the non-amortizable goodwill; and therefore, no earnings impact in terms of ongoing earnings impact from lower amortization expense associated with this write-off?
 Jim Follo: The substantial portion of the write-off was goodwill, which is non-amortizable. There will be a small impact going forward, but it is fairly negligible. It is about $3 million per year.
 Peter Appert - Goldman Sachs: In amortization expense benefit?
 Jim Follo: Yes, that's correct.
 Peter Appert - Goldman Sachs: Great. Thank you. A follow-up for Martin on the prior question. You've been at the Google print deal now for a little while so anything you can share with us, in terms of the kind of revenue momentum you're getting out of that? Additionally, with regard to your earlier comments on exploration of deals with other Internet players, just any color you could offer on the kinds of deals you would like to do and what the structure and impact could be for New York Times Company?
 Martin Nisenholtz: The Google test -- and it really is just that, it is a test -- it is technically referred to as an ELSA, it involves 50 advertisers that we've agreed to test this with. We've had a very good acceptance rate and it is a nice small revenue stream. It is about to be expanded to a larger test group and full fledged data, so it is one step at a time, both Google and the New York Times are pleased with the results.
 Janet Robinson: These are all new advertisers, these are not current advertisers, so this is a whole new revenue stream for the papers, not only the New York Times, Peter, but also the Boston Globe.
 Peter Appert - Goldman Sachs: Are we talking a million or more than a million a year of incremental revenues? Is that the order of magnitude?
 Janet Robinson: We wouldn't comment on that. This is still a test and we would observe the appropriate secrecy in regard to the test results.
 Peter Appert - Goldman Sachs: Very discrete of you. How about from Martin, just any additional color on the deals you are thinking about or would like to do?
 Martin Nisenholtz: I don't think we can comment with additional color, simply because of our nondisclosures. I would only say that we're seeking to maximize the value back to the Times Company, and all of these discussions, they're fairly broad discussions.
 Peter Appert - Goldman Sachs: What's the timeframe? Do you think you will get something done here in the first half of '07?
 Martin Nisenholtz: We would like to get something done as soon as possible. But I can't tell you precisely when anything will close, because frankly, we don't have a date at this point.
 Peter Appert - Goldman Sachs: Thanks.
Operator: We will go next to Debra Schwartz - Credit Suisse.
 Debra Schwartz - Credit Suisse: Hi, great. Thank you. I was just wondering if you could give us some more color on what you're seeing in entertainment advertising? First, can you tell us what percent of ad revenue came from the entertainment category in 2006? Second, was the improvement you saw in December an improvement in print or are you starting to capture more of the studios online spending? Finally, can you just comment on the sustainability on the improvement that you saw in December? Thanks.
 Martin Nisenholtz: In 2006, studio entertainment was about 11% of our core revenue base. The relative strength we saw in December, was print, but we've been seeing healthy growth in the digital side of it, all through 2006. And the sustainability, I would characterize it as a moderation of the trend we saw last year. Again, there is significant volatility in this category, it is being helped/strengthened by the Oscar season, and the comps we're up against.
 Jim Follo: Just on entertainment, entertainment is the fourth largest category at NYTimes.com and it was up 66% last year online. So it is not only is it a large category, but it was up dramatically.
 Debra Schwartz - Credit Suisse: Could you just tell us how much the category online was down in 2006?
 Jim Follo: How much it was down?
 Debra Schwartz - Credit Suisse: Yes, do you have that?
 Jim Follo: It was down into the significant double-digits, 20% range.
 Debra Schwartz - Credit Suisse: Thank you.
Operator: We will go next to Edward Atorino - Benchmark.
 Edward Atorino - Benchmark: Hi, good morning. Regarding acquisitions, I know you don't talk specifically, but with the sale of broadcasting, and maybe some real estate activity, you would have some available power, so to speak, for acquisitions. What would be your appetite to take on additional debt for the right kind of deal?
 Jim Follo: Well, as Janet mentioned, the fact that we will be reducing debt in the early part of the year obviously will give us some more flexibility, so that will give us some additional borrowing capacity. So we look at that as a likely source of some acquisition capital. The building obviously also provides us with a source of low cost borrowing as well. So there is some capacity.
Scott Heekin-Canedy: And the other thing is, obviously, we will be completing our headquarter spending by mid year and we will be completing the New York plant consolidation project in the early part of 2008. So our capital expenditures are winding down to a much lower level, and that will give us additional flexibility.
 Edward Atorino - Benchmark: Is there a debt equity target you would not want to go above or something like that?
Scott Heekin-Canedy: I don't think we set a very specific target. Obviously, we have been a solid investment grade rated company in our history. We're building in balance sheet flexibility though to be able to do things that make sense strategically going forward.
 Edward Atorino - Benchmark: Is investment grade a critical variable for you?
Scott Heekin-Canedy: It has been historically, yes.
 Edward Atorino - Benchmark: Thanks.
Operator: We will go next to Alexia Quadrani, Bear Stearns.
 Alexia Quadrani - Bear Stearns: I have a question about About.com. You've had some very impressive growth again in the fourth quarter. Could you give us any color on seasonality in this business to help us get a better sense of what growth we should expect in the first quarter? My second question is, at what point in the year in the newspaper side of the business, the print business, if it hasn't happened already yet, do you get an idea of any pushback on ad rate hikes or whether or not they have stuck to the fullest extent? Thank you.
 Martin Nisenholtz: Let me start with about. We have only actually operated the business for a full year. I think the seasonality actually is very close to the other businesses that we operate online, so you see robust growth of course in the fourth quarter, somewhat less robust, but good growth in the second quarter; the first quarter, tends to be a little bit lighter. But with respect to the business itself, we expect to see page view growth continue to grow, although probably moderating somewhat, because again, we're cycling now through the Times ownership, we're no longer in the other company’s ownership. As I said earlier, we will continue to see healthy growth rates on the rate side. So the business will continue to grow robustly.
Scott Heekin-Canedy: We have enough experience so far to be confident that we can realize our rates and I would say by the end of March, we will have concluded any significant discussions that are still out there.
 Alexia Quadrani - Bear Stearns: Thank you.
Operator: We have a question from Steven Barlow - Prudential.
 Steven Barlow - Prudential: A follow-up here on the depreciation expense on Edison. How should we look at it for the next four quarters of '07?
 Jim Follo: It is about 11.5 a quarter.
 Steven Barlow - Prudential: Okay. And that will end as it goes through the first quarter of '08?
 Jim Follo: Yes.
 Steven Barlow - Prudential: Thanks.
Operator: We will go next to Matt Chesler - Deutsche Bank.
 Matt Chesler - Deutsche Bank: One follow-up on the writedown up in New England. Do you now have a tax asset of some sort that you can apply to future periods, either for operating income or perhaps a gain on sale?
 Jim Follo: No, the New England Media Group, the writedown there, it was a tax-free exchange when we acquired the Globe, so therefore we will not have any significant benefit there to apply against the broadcasting.
 Matt Chesler - Deutsche Bank: But is there a moderate benefit of some sort?
 Jim Follo: I wouldn't even say moderate.
Scott Heekin-Canedy: There is a small element of the writedown which will be deductible. It is a fairly limited write-off.
 Matt Chesler - Deutsche Bank: Okay. And remind me what the tax basis was, if you would, on the TV Group?
 Janet Robinson: We didn't disclose it for the TV Group, but when we announce the closing of the transaction, we will provide some information at that point.
 Matt Chesler - Deutsche Bank: Great. Thank you very much.
Operator: And at this time we have no further questions in the queue. I will turn the conference back over to Ms. Mathis for any additional or closing remarks.
 Catherine Mathis: Thank you so much for joining us today. If you have any other questions, please give me a call.
Operator: That does conclude today's conference call.